Operator: Good morning and welcome to BrightView's 2020 Fourth Quarter and Full Year Fiscal 2020 Earnings Conference Call. As a reminder, this call is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Today's press release is available on the company's website investor.brightview.com. Additionally, the online webcast includes the presentation slides that will be referenced as part of today's discussion and a downloadable copy is also available online. I will now turn the call over to Brightview's Vice President of Investor Relations, John Shave. Please go ahead.
John Shave: Thank you, Lindsey [ph] and good morning. Before we begin, I would like to remind listeners that some of the comments made today, including responses to questions and information reflected in the presentation slides will be forward-looking and actual results may differ materially from those projected. Please refer to the company's SEC filings for more detail on the risks and uncertainties that could impact the company's future operating results and financial condition. Comments made today will also include a discussion of certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures along with other disclosures of provided in today's press release. Disclaimers on forward-looking statements and non-GAAP financial measures apply both to today's prepared remarks as well as the Q&A. Finally, unless otherwise stated, all references to quarterly, year-to-date or annual results or periods refer to our fiscal years ending September 30 in each respective year. For context BrightView is the leading and largest provider of commercial landscaping services in the United States with annual revenues in excess of $2 billion, approximately 10 times our next largest competitor. Together with our legacy companies, BrightView has been operating for more than 80 years, and our field leadership team has an average tenure of 14 years. We provide commercial landscaping services ranging from landscape maintenance and enhancement to tree care to landscape development. We operate through differentiated and integrated national service model, which systematically deliver services at the local level by combining our network of more than 240 maintenance and development branches with a qualified service partner network. Our branch delivery model underpins our position as a single source end-to-end provider to a diverse customer base at the national, regional and local levels, which we believe represents a significant competitive advantage. We also believe our commercial customers understand the financial and reputational risk associated with inadequate landscape maintenance and consider our services to be the essential and nondiscretionary. I will now turn the call over to BrightView's CEO, Andrew Masterman.
Andrew Masterman: Thank you, John. Good morning, everyone and thank you for joining us today. Starting on Slide 4, let me provide you with an overview of our strong fourth quarter and full year fiscal 2020 results. First of all I'm pleased to report that all BrightView branches continue to be operational with no limitation on the scope of services. Second, inclusive of acquisitions our maintenance contract-based business for the quarter grew 3% versus the prior. This compares favorably with the third quarter of fiscal 2020 when our maintenance contract-based business declined 2%. Contract maintenance is our core book of business and continues to represent a recurring and durable revenue stream. Third, total adjusted EBITDA for the fourth quarter was $90 million with a solid EBITDA margin of 14.8% up 10 basis points versus prior year. Fourth, net capital expenditures as percentage of revenue were 2% or $47.9 million down from 3.5% revenue in the prior year. Our model continues to demonstrate an ability to generate consistent revenues and profitability coupled with very modest levels of working capital and capital expenditures. Fifth, free cash flow generation continues to be exceptional. During the fourth quarter we generated a record $77.4 million of free cash flow for the full fiscal year 2020. We generated $197.2 million of free cash flow, a 128% increase year-over-year and also a record for the company. And finally, results of our strong-on-strong acquisition strategy benefited a revenue growth during fiscal 2020 and with an attractive pipeline acquisitions will continue to be a reliable and sustainable source of revenue growth. Our performances at the upper end of the guidance provided during our third quarter call and reflects a solid finish to the year. Our financial performance in the fourth quarter showed strong sequential improvement and we remain confident in opportunity to generate value for all of our stakeholders. Before we turn to the details of our fourth quarter and full year, let me provide you with our outlook for the first quarter on Slide 5. As expected, October and early November has seen COVID-19 business impacts of ancillary demands in the maintenance segment and project pipeline softness in development. Additionally, we'll have about $7 million revenue reduction in the first quarter due to the sale of the tree nursery business. As mentioned, our maintenance contract-based business is growing and our two largest verticals Homeowners Associations and Commercial Properties have remained resilient. And we expect a favorable tailwind from acquisition that were completed in fiscal 2020 and in early fiscal 2021. As a result for our first quarter fiscal 2021 we anticipate total revenues between $525 million and $550 million and adjusted EBITDA between $45 million and $49 million with the lower end of the range contemplating a light snowfall. Due to the uncertain outlook regarding the full extent of COVID-19 impact on economy and its longevity we'll not be providing annual guidance for fiscal 2021 at this time. We will operate under the premise that headwinds will continue to impact ancillary demands in our maintenance segment and cause project delays in development. These factors will impact our ability to grow organically over the next several quarters despite that, we believe with an average snowfall during the first half of the fiscal year and a modest recovery from the pandemic in the second half. We will be poised to deliver improved results year-over-year. Turning now to Slide 6, before continuing with the discussion of our results once again, we want to express our thoughts to those impacted by the COVID-19 outbreak. We continue to be extremely grateful for first responders, healthcare professionals and all essential workers. In spite these difficult circumstances, I continue to be very proud of our persistent focus on safety. The landscaping Industry Standard Incident Rate is 4.0. At BrightView our total recordable incident rate in fiscal 2020 is 1.87 far exceeding industry-wide metrics. What this means is that we have less than one incident per 100,000 hours worked and we have many branches with no incidents at all during the year. This incident rate has improved significantly over the past four years and combined with our consistent excellent and service delivery. We continue to shy and it's reflected in our results. In recognition of our team, we awarded our field employees with much deserved recognition. Earlier this month, we paid $6 million to frontline team members more than 13,500 employees in branches across United States received an extra paycheck. This is our way of acknowledging their work and commitment under very difficult circumstances. Moving now to Slide 7, in addition to health and safety. We're laser focused on business continuity. Company-wide we continue to exercise extreme prudence as we navigate through challenging period of moving quickly on opportunities to maintain and grow our base contract services protect margins and enhance cash and liquidity, manage capital expenditures and reduce working capital. Fortunately across all regions of the country our two largest verticals HOA's and commercial properties continue to be resilient. Both stay at home and work from home highlight the importance of our services to millions of residents who live in communities we maintain. Commercial and corporate campuses combined with HOA's represent approximately three quarters of our maintenance contract book. Hospitality and retail have been the most impacted verticals, but represent less than 10% of our overall maintenance contract book. We have a healthy and diverse mix with customers of project and we continue to believe in the resiliency of our business and our ability to meet the challenge head on. Conditions presented by COVID-19 remained fluid. But our quarterly results highlight the resiliency of our contract base business and reflect the positive underlying trends in our acquisition strategy, cash generation and growth in liquidity. Our team has done an incredible job delivering steady results. Ultimately, we continue to be confident we will emerge from this crisis a better and stronger company. We're remaining focused on building our long-term fundamental strength in creating superior value for our stockholders. Turning now to Slide 8, since the beginning of fiscal 2020. We completed eight acquisition strengthened our presence in several key markets. Overtime, we expect these acquisitions to add approximately $100 million in incremental annual revenue. In September, we acquired All Commercial Landscape Services headquartered in Fresno, California. All Commercial is a full-service landscaping company and entry point into a desirable MSA. In October, we acquired Commercial Tree Care, in San Jose, California combined with the acquisition of All Commercial, BrightView is now the leading tree care company in all of Northern California. The purchase of Commercial Tree followed the sale of BrightView Tree Company, our tree nursery division that typically generated between $25 million and $30 million in annual revenue. The redeploying of assets marked the development segment through our maintenance segment is consistent with our overall strategic growth plan. Most recently and subsequent to the end of the quarter BrightView acquired full service commercial landscape firm WLE. The 250 member WLE team serves HOA developer, commercial and municipal clients across tree markets in Central Texas and important in growing regions. Our business is cash generative with low capital intensity and minimal inventory, allowing us to consolidate the marketplace in an efficient manner. Our horticulture knowledge and excellence and our ability to operate multiple service lines under one banner positions us well. We have a very disciplined and repeatable acquisition and immigration framework which results in less risk and generates predictable and accretive return. Acquisition provide us with an established client base, a company with a track record of operating results, a field leadership team and an experienced workforce. Currently, our M&A pipeline has over $400 million in revenue opportunity and we're in discussions with multiple companies. After an intentional pause during the third fiscal quarter, we resumed our acquisition strategy. As the acquired choice in our industry, we deployed over $300 million and closed 22 acquisitions since January 2017 and are accelerating our pace of acquisitions and integration. We will continue our aggressive but disciplined approach against our attractive pipeline as we seek market expansion and new market entry. As we progress through fiscal 2021, we continue to update you on this core strategy. Turning to Slide 9, we remain focused on deploying technology to enhance 360-degree client engagement across all verticals. Over the course of the last couple of years, BrightView has invested in industry leading technology to support our customers and enable our field-based account and branch management. HOA or BV Connect, quality site assessment and Salesforce CRM software have all been implemented as digital tools to improve retention and support property enhancement. Hiring HOA Connect, this digital customer portal introduced at HOA's in late 2019 has been implemented almost 100 sites across the country, allowing for quick collaboration, digital pictures and direct follow-up on issues within the community. HOA Connect have become a BrightView differentiator. In the summer of 2020, a platform for HOA residents take advantage of BrightView ancillary services via a web portal was introduced along for incremental service offerings. Although early in adoption initial indicator showed double-digit increases in ancillary services at HOA's utilizing this tool. More to come as we roll this industry leading software up to B&B customers. Turning to Slide 10, in addition to technological enhancements. We continue to invest in our sales organization growing our team 10% during fiscal 2020 and 25% since fiscal 2018. We also continue to expand the use and effectiveness of our sale tools by Salesforce, our customer relationship management solution and other sales enablement technologies. To drive success to these expanded sales team, we continue to invest in digital marketing initiatives in new market and renewed channels. Over the last two years, we've realized three times increase in our marketing driven qualified sales leads. These leads have been led to seven times increase in closed deals indicating a high quality of marketing driven opportunity. We expect this trend to continue to increase as we evolve our digital marketing strategy into a more effective omnichannel approach. Turning to Slide 11, we remain focused on driving maintenance contract growth during fiscal 2021. Our contract business represents the core part of maintenance including mowing, edging, pruning, trimming, blowing and other basic landscaping services and in 2020, was about two-thirds of our maintenance business. This slide provides more granular level in our maintenance contract book of business. We think it is a valid way to better understand both the resiliency and stability of our core maintenance business. As you can see, total maintenance contract base business turned positive growth in fiscal 2020. Through the third quarter, we did experience 7% decline however in the fourth quarter we delivered strong sequential growth seeing an underlying improvement in COVID related impacts and are optimistic the best trajectory will continue. Turning to Slide 12, in the constant hunt [ph] for profitable organic growth in addition to leveraging technology, we are fine tuning our sales force and strategy. We will invest in the growth of our maintenance sales team and our new virtual training and coaching programs allowing us to more effectively and efficiently onboard new team members. Instead us motivate high levels of right sales activity, we continue to refine and invest in growth incentives to encourage bundling services around fertilization, sweeping and pruning services, tree maintenance and snow removal. Our recent acquisition includes offerings that allow us to more effectively bundle services while eventually positioning BrightView as the industry leader across number of service levels. Growth is a primary focus and growth will be recognized and rewarded throughout the organization. We also continue to realize the benefits of digitizing BrightView, our technology support engagement by providing client touch point and mobile field solutions. HOA and BV Connect are a property management portal are driving deeper connectivity to the customer's we serve. The portal not only provide a platform to digitally engage with customers but also facilitate additional ancillary momentum. As our customers become more familiar with use, we're seeing a greater willingness to request services via the portals. In addition, our mobile quality management solution [indiscernible] is enhancing customer satisfaction by enabling us to share virtual site walks while incorporating customer feedback and potential ancillary work. Providing our sales team with the data and technology tools that yield insights and support client engagement is also critical to support growth. Our proprietary electronic time capture, labor management tool is resulting in performance efficiency and our bidding and estimating tools continue to improved and enhanced. Digital marketing is critical with our efforts focused on [indiscernible] resistant verticals and geographic market expansion. Our omnichannel approach is all about utilizing data efficiently while integrating customer interaction via our website, social media channels and mobile advertising, increased digital marketing efforts will be supported by growing inside sales capability. Technology is a key competitive differentiator an advantage of scale and will combine with a refined sales strategy, structure and increased Salesforce side should return BrightView the positive growth. I'll now turn it over to John, who will discuss our financial performance in greater detail.
John Feenan: Thank you, Andrew and good morning to everyone. I'm very pleased with the strong results we've delivered in our fourth quarter and during fiscal 2020. Our record cash generation combined with modest capital needs resulted in a reduction in our net debt of approximately $116 million and a leverage ratio of 3.7 times at September 30, 2020 versus 4.1 times at the end of the third quarter. Additionally, the growth in our contract maintenance business combined with efficiencies gained from our investments in technology and our ongoing focus on productivity have all been meaningful in driving improved margins and collectively underscore the strength and resiliency of our business. With that, let me now provide a snapshot of our fourth quarter results. Fourth fiscal quarter 2020 revenue for the company declined 2.7% or $16.7 million from $624.8 million in the prior year to $608.1 million in the current quarter. Driven principally by COVID-19 business impacts on ancillary demand and maintenance and project delays in the development business. Maintenance revenues of $443.9 million for the three months ended September 30 decreased by $11.5 million or 2.5% from $455.4 million in the prior year. The decrease in maintenance was driven principally by ancillary demand softness with solid revenue contribution of $25.1 million from acquired businesses. For the three months ended September 30 development revenues declined $5.6 million or 3.3% to $165.1 million from $170.7 million in the prior year driven predominantly by project delays. We expect COVID related softness during the first half of fiscal 2021 and more pronounced in Q2 versus last year. But we're also encouraged by our bidding pipeline and bid calendar and we anticipate increased stability during the second half of fiscal 2021. Turning to the details on Slide 15, total adjusted EBITDA for the fourth quarter was $90 million, a decrease of $1.9 million or 2.1% from $91.9 million in the prior year. The impact of lower revenues due to COVID-19 was offset by productivity initiatives in SG&A cost containment. In the maintenance segment, adjusted EBITDA of $77.2 million was flat to prior year. Cost containment initiatives and solid labor management offset revenue losses which led to strong margin expansion. The result was an impressive 40 basis point expansion in EBITDA margins 17.4%. In the development segment, adjusted EBITDA decreased $400,000 to $26.3 million compared to $26.7 million in fiscal Q4, 2019. The modest decline was driven by lower revenues however through strong cost containment efforts the development business was able to significantly mitigate against the revenue loss which resulted in a 20 basis point expansion in EBITDA margins to 15.9% in fiscal Q4. Corporate expenses for the fiscal fourth quarter increased $1.4 million representing 1.9% of revenue. Now let me provide you with a snapshot of our results for the full fiscal year 2020 on Slide 16. Total revenue for the company decreased 2.4% to $2.35 billion from $2.40 billion in the prior year. In the maintenance segment fiscal year revenues were $1.74 billion, a $74.3 million or 4.1% decline versus 2019. Key drivers were COVID-19 business impacts on ancillary demand, partially offset by solid revenue contribution from acquired businesses. We were also impacted by an $86 million snow revenue decline in the first half of fiscal 2020 results. In the development segment despite project delays in the second half, strong first half project pipeline total growth as revenues increased 2.6% to $610.6 million compared to $595.4 million in the prior year. Total consolidated adjusted EBITDA for the fiscal year was $271.6 million compared to $305.1 million in the prior year. The variance was largely driven by second half softness in our maintenance ancillary revenues, project delays in the development segment and lower snow revenue. The maintenance segments adjusted EBITDA declined by 11.3% to $250.1 million compared to $282 million in the prior year due principally to ancillary softness and a significant decline in snow removal services. As a result of COVID-19 business interruptions and project delays, adjusted EBITDA for the development segment decreased 1.8% to $80.2 million compared to $81.7 million in the prior year. Corporate expenses were essentially flat compared to the prior year and as a percentage of revenue corporate expenses were 2.5%. Let's move now to our balance sheet and capital allocation on Slide 17. Net capital expenditures totaled $47.9 million for the fiscal year ended September 30, down from $83.1 million in fiscal 2019. This represents a 42% decline and demonstrates again our ability to judiciously manage cash. Expressed as a percentage of revenue net capital expenditures were 2% in fiscal year 2020 down from 3.5% in the prior year. We will continue to demonstrate a diligent focus on managing capital expenditures and we expect fiscal 2021 capital expenditures to be approximately 3% of revenue in line with our long-term guidance. In fiscal year 2020, we invested $90.3 million on acquisitions and decreased net debt $116 million to $1.02 billion. Our leverage ratio was 3.7 times at the end of the fourth quarter of fiscal 2020 versus 4.1 times at the end of fiscal Q3. During the fourth quarter of fiscal 2020, we also completed the sale of BrightView Tree Company our tree nursery business. In addition to generating cash, the transaction reduces our working capital needs and supports our overall strategic growth plan to redeploy capital from development to maintenance. In connection with this transaction, we recorded a one-time non-cash charge in the fourth quarter of approximately $22.1 million primarily related to goodwill. During fiscal 2020, free cash flow increased $110.6 million, the highest achieved in our history to a record $197.2 million. This represents a significant increase compared to $86.6 million in the prior year and was principally due to an increase in cash flows from operating activities. Our continued focus on diligently managing our working capital including receivables and payables, aggressively managing capital expenditures and a reduction in interest expense driven by lower rates. To further elaborate on working capital, let me briefly review the progress we've made over the previous three years on Slide 18. In 2017, as a percent of last 12 months revenue net working capital was 12.5% through a continued focus on reducing DSO and increased focus on driving more favorable vendor payment terms and aggressively managing our inventory. Net working capital was significantly reduced to less than 9% revenue in fiscal 2020. Going forward, we expect to remain very diligent in regards to managing our working capital. An update on liquidity is on Slide 19, at the end of fiscal 2020 we had approximately $182 million of availability under our revolver, approximately $50 million of availability under our Receivables Financing Agreement and approximately $157 million of cash on hand. Total liquidity as of September 30, 2020 was approximately $389.1 million. This compares to $283 million as of September 30, [ph] 2019, a true testament to our ability to generate cash. We are confident that we have ample liquidity and cash on hand to not only run BrightView effectively. But also maintain our focus on paying down debt and continuing our accretive M&A strategy. With that, let me turn the call back over to Andrew.
Andrew Masterman: Thank you, John. Turning now to Slide 21, our fourth fiscal quarter results toward the upper end of the expectations we shared in August. Our cash flow and contract-based business remained strong. Combined with our liquidity, we expect to continue our pace of acquisition and pay down debt. Despite anticipate continued COVID-19 related impacts, the fundamentals of our business and our industry remain strong. Our sales and marketing strategies and structure are formula for long-term success, and our investments in field-based sales and operations leadership will drive strong new sales and result in improved client retention while further streamlining our service delivery. The investment and expansion of our sales team combined with targeted regional efforts in digital marketing have grown our sales opportunity pipeline to the highest level in the company's history. Overtime, this enhanced and robust pipeline can support growth well ahead of industry averages. Additionally, our M&A pipelines shows no sign of slowing down and it delivered reliable source of growth for three years running. We plan to utilize our strong cash position and liquidity and expect to take advantage of our attractive pipeline of opportunities. I would also like to personally thank our dedicated employees, families, customers, clients and partners for their resiliency and dedication during a challenging time. Almost 20,000 people come to work every day to make sure the living asset in which we live, work in place are safe and beautiful. Most importantly, the strong customer and team oriented BrightView culture drives the resiliency of our business. At all levels in the organization, our focus on taking care of each other and our customers and taking pride in how we engage with our clients and the beauty of their properties we design, develop and maintain has sustained our organization. We will continue this focus on our culture to deliver confidence in the future that lies ahead. Thank you for your interest and for all your attention this morning. We will now open the call for your questions.
Operator: [Operator Instructions] Our first question comes from Andrew Wittmann with Baird. Your line is now open.
Andrew Wittmann: I've several questions I'll probably hop back in maybe save some of them for later [indiscernible], other people got to chance have the floor. But Andrew, I guess I wanted to start a little bit talking about on the maintenance segment. Last quarter organic growth rate was minus 12, this quarter minus eight. So a sequential improvement, you've talked about this briefly in some of your prepared remarks. But I was hoping if you could dig in a little bit more and describe a little bit more about what you saw in the quarter, what were truly the biggest factors in driving the sequential improvement, was it just really more reopening of customers or was it driven by wins in account retention or was it just ancillary coming back? I'm sure it's all these things, but I'm really looking for what the couple of key drivers were that helped the sequential improvements and can understand little better.
Andrew Masterman: Good morning, Andrew. I think if you pick that list and closure [ph] primary drivers. Clearly, some of the reopening that occurred in the fourth quarter versus the third quarter was particular impact although as you noted still had some of the decline. I will say that probably another underlying impact of the improvement was higher retention rate. Well sales clearly has slowed down some disputed ability to get front of our customers, also at the same time the retention we have with our current clients has maintained the strong position. So I think those two drivers, ancillary well improving some in the shortfall in the fourth quarter did not come back as strong as the contract came back. So ancillary continues to provide pressure in the overall picture. But I would say on a very positive note retention improving as well as just general reopening of the [indiscernible].
Andrew Wittmann: Great, thanks for that. The implication of this I guess on your first quarter guidance since my last question we've seen a lot of service companies' kind of leveling off in that September timeframe seeing kind of October even November trends that are more consistent with the pace you saw in the quarter. Is that the key streak for your business on organic basis as well? Or how should we think about what's implied in that guidance?
Andrew Masterman: Yes, I think, thinking about the first quarter is what you'll see overall is you're right kind of a good resilient space in our contract business. I think ancillary our assumptions are that we continue to see pressure in the ancillary world and that has - is not coming back and the range really is the variability - which still happens in December. So that does pose another uncertainty is very particular in a December month.
Andrew Wittmann: Okay and then just over development. I thought I would just ask, you mentioned some project delays. We've noticed in your filing that your recorded but unperformed backlog performance obligations are down pretty significantly since the start of the year. But I think previously you mentioned that your fiscal 2021 was well booked or even maybe said nearly fully booked. And so I guess the question is, what's the status update on this. Are some of the delays that you saw in the quarter expected to continue through 2021 to maybe change the way you see, the 2021 development picture laying out and I was just wondering, if given the uncertainty real estate market, if you're seeing any cancellations?
Andrew Masterman: Previously I mentioned, we're booked at first quarter and that continues - the first quarter is kind of booked at our expectation level. It's where I said and before is in the first half of calendar year that we saw some weakness overall in the development, that we continue to see some of that. Not cancellation, it more so has to do with the fact that during the April through July period overall project activity was well in the construction area and this cause us to pause a little bit and a dip we see in the first half of the calendar year 2021, that being said, actually bidding activity is increasing and we're actually seeing some nice upticks in overall project inquiry kind of the reverse of cancellation that gives us some optimization as we look out nine months from now.
Operator: Our next question comes from Tim Mulrooney with William Blair. Your line is now open.
Tim Mulrooney: Couple questions. First, can you talk about how your enhancement revenue trended through the quarter and maybe in October? I mean you talked about your base contract revenue which is really hopeful. But the variability really seems to be around the enhancement revenue. So curious if you could share what enhancement revenue was as a percentage of sales maybe relative to this time last year or how it moved through the quarter?
Andrew Masterman: Yes, if you look at overall enhanced control. We did note that total contract was up 103% last year, the ancillary continued to show weakness obviously with the overall profile of the business being down about 3%. So we correlated that with ancillary and we are seeing ancillary although improved off of the third quarter still about 20% or so down year-over-year.
Tim Mulrooney: Okay, that's really helpful. Thanks Andrew. And I wanted to ask about employee retention, so isn't really necessarily directly correlated to your results. But I know this is critical metric for the business. So I'm thinking about couple different factors here. I know we talked about this in the past, Andrew. But now we're seeing these one-time bonuses you recently paid out. Do you expect that to have an impact? I'm thinking about suspension H-2B visa program in June, how has that affected your operations? Can you just touch on your branch level retentions rates? And how that's changed if at all through this COVID period?
Andrew Masterman: What you see out there is that we continue to have a very dedicated and strong base of employees throughout the organization, a critical core that continues to operate. We talked about we paid over 13,000 people in the company essentially with bonus and that shows you the extent of the stickiness that we have with our employees. I mean the fact the matter is, those folks had - been with us since May to get that bonus and that was not - those were the people who actually were doing work, landscaping, gardeners in the field every single day. So when you look at that overall retention, I'm very pleased to be able to say that we had a very strong retention element throughout the entire pandemic. As you look out - the H-2B visa announcement back in June were through December 31 and so the program itself continues to be active with taking applications for 2021 and there is not been any declaration specifically related to how that impacts 2021.
Tim Mulrooney: Okay, understood. Thanks for the color.
Operator: Our next question comes from the line of Shlomo Rosenbaum with Stifel. Your line is now open.
Shlomo Rosenbaum: Can you walk me through again why you sold your tree nursery business?
John Feenan: Yes, Shlomo, good morning. This is John. Part of our development segment much more cyclical in nature. But here's - working capital you've heard me say before the company has about $30 million of inventory, $20 million of it was tied up in the tree nursery business and we had a really good - operate really good multiples. We want to take advantage of that.
Andrew Masterman: I think Shlomo also if you look strategically, the nursery business within what we do - we don't grow products or make products. We basically develop landscape install landscapes and maintain them. Strategically the company that acquired, this was a nursery company. And so taking a nursery company and putting with another nursery company really gave a strategic reason where it can be in more of a group focused on that line of business rather than line of business that strategically is really, what we're focused on.
Shlomo Rosenbaum: Did it change any of your costs in terms of development that you now have to buy as opposed to produce by yourself?
Andrew Masterman: No we created all transaction between the tree nursery and our own development business pretty much as an [indiscernible] transaction. We did buy and we continue actually was encouraging as we actually have a very cooperative agreement now with Devil Mountain, which is a company that bought nursery to continue a very positive and healthy working relationships between our companies and we actually think it's going to expand our relationship by tapping into Devil Mountain's other nursery businesses and creating overall really strategic synergy with a company that's focused in on nursery business.
Shlomo Rosenbaum: Okay and you said $7 million next quarter, is there any EBITDA impact there?
John Feenan: Yes, it's about $1 million, Shlomo in Q1.
Shlomo Rosenbaum: Okay, so it's small, okay great. And then can you talk a little bit about the increase in contract revenue margins during the quarter? What's going on? What are the conversations that you're having that are enabling that to happen? Is it pricing at all or is it really the fact that you guys are just being very disciplined on costs, if you can elaborate on that?
Andrew Masterman: Yes, I would say it's more of latter than the former. We're being aggressive where we can be and prudent on pricing as we have been historically. But I would say the main driver of the incremental margin improvement in the maintenance side was driven by really good utilization of our technology tools, our electronic time capture managing the labor so there was a benefit there and then also the cost side, Shlomo. Those were the two main drivers of the enhancement and margins for the quarter.
Shlomo Rosenbaum: Okay and if I can squeeze one more in. You did a really good job on working capital and it's something that, it's really driven the cash flow for year. Is there any - how should I think of this going forward? And you feel like you've squeezed it down to kind of run rate level here or is there more work that you think you can do there, John?
John Feenan: Well I think, for us it's about continues improvement Shlomo, so we're going to continue to be prudent and disciplined. We have made a lot of structural improvement in how we manage the working capital. But our goal right now is to hold onto the improvements that we've made. But as I said in my comments, we'll continue to manage it very aggressively on the working capital side and we really want to focus on the items that are controlled at the branch level, mainly collecting our money and we've done a very good job in being aggressive in our collections across the board both development and maintenance.
Operator: Our next question comes from George Tong with Goldman Sachs. Your line is now open.
George Tong: The pace of development and revenue decline improved pretty meaningfully in fiscal 4Q, even against the relatively tough comp in the year ago period. Can you talk a little bit about how project delays are currently impacting the development business that you're seeing broad based reopening now or if things are still pretty much under lock and key [ph]?
Andrew Masterman: Yes, George. I think overall in development it's really spotty, meaning around the country different areas, different paces. I mean the reality is, for example the Boston area it seems to have a little more impact on the ability to exceed [ph] significant project done. So we're seeing a little more delays in those kinds of areas. I think overall we're seeing demand in the development area in Q1 kind of similar to last year - relative to last year. It's really where we see kind of the impact of a slowdown is really kind of our Q2, with then kind of coming back in Q3 and Q4 to probably typical levels that we saw in 2020. So really our dip happens in Q2.
George Tong: Got it, that's very helpful. In your prepared remarks you did cite several organic revenue growth drivers looking ahead so sales team growth, marketing effectiveness. You talked a little bit about some of the virtual coaching and training programs. Can you elaborate in which of those levers do you think has the most potential to accelerate your growth exiting COVID?
Andrew Masterman: Yes exiting COVID, we're seeing some there's multiple levers that pry downwind. As I think on a couple of them. I mean we're seeing some real positive shoots coming out of our digital marketing efforts, which is really showing a deliberate attempt to get onto the market using omnichannel or really a multi-pronged approach to generate significant qualified lead generation. We started this about a year ago, with a single stream kind of approach and now going into a multi-omnichannel approach in targeted market. We're seeing as I've mostly mentioned before 3x improvement in leads that's leading to 7x close. So a very significant element and where we're seeing some of that as recently as October, we talked about before our net new. Our net new number in October was the highest net new we've seen in the company's history which means our sales efforts are being to work. Does it mean, realized revenue coming [indiscernible] but it means the contracts which we start booking now early into contracts that will start in April. We're seeing some real positive shoots coming out that marketing initiatives.
George Tong: Got it, very helpful. Thank you.
Operator: Our next question comes from Judah Sokel with JPMorgan. Your line is now open.
Judah Sokel: I wanted to ask a little bit about a comment you made around fiscal 2021. You had said assuming a couple of caveats which is having snowfall, modest recovery you're expecting improved results year-over-year. So I just wanted to make sure I understood what that meant. Is that saying for the full year we should be looking at revenue in total up year-over-year, if you're talking about EBITDA as well or was this just a maintenance comment? So was just hoping to dig into a pretty encouraging comment that you made?
Andrew Masterman: Yes, it's an overall comment. I think Judah, the answer is yes. Revenue is up and EBITDA up as long as we have average snowfalls and we see a modest recovery, we're very encouraged, about what we see out there not only as I mentioned in our new sales pipeline. But also with overall development booking trend. The thing as I noted, our contract maintenance business is stable and growing that contract base business with return to normalized activity of COVID, the ancillary pull through will come and so yes, we're encouraged as long as we see recovery in COVID, which we believe when the vaccine will occur and overall snowfall happening [indiscernible].
Judah Sokel: Great and then also not be relying on increased M&A, right. Let's just put M&A aside on organic basis, you take that goods can be up year-over-year assuming like you said average snowfall a modest recovery?
Andrew Masterman: Yes.
Judah Sokel: Okay, great. And the other thing I just wanted to ask, I appreciate the slide that you guys included, which showed the trends for contract, I believe was Slide 11. I just wanted to make sure I understood it. So this is the piece of maintenance that is just contracts, right? So it excludes the enhancement work, is that how I'm understanding it?
Andrew Masterman: That's correct. Judah its contract only then excludes ancillary.
Judah Sokel: And that mix is generally like 75 - 25 mix, if I recall, correctly?
Andrew Masterman: Judah, I mean including snow it would be 25 - 75 excluding snow roughly two-thirds, one-third kind of if you look at it. But the overall maintenance business about 25% of the overall business the ancillary services.
Judah Sokel: Okay, so putting it all together, if we still wanted to just quantify how much impact you're seeing from COVID. So I know you quantified it last quarter I believe it was $75 million in total, $65 million of that was in maintenance. Could you help us maybe I missed it, can you just quantify how much you saw and impact from COVID-19 on your revenues in the fourth quarter? And then what you're sort of expecting what's embedded in your guidance for the first quarter?
John Feenan: If you look at it, if you look at the maintenance that is in general. You're right we said about $75 million in the third quarter. I think that's slowed down a little bit. So we think the total impact to COVID in the fourth quarter in maintenance is somewhere around $50 million or so in the fourth quarter and that's in maintenance. Development will one point bit less on that and or so in revenue. So you look at the overall picture 60 out of the 75, in order about $135 million or so impact for the year on COVID so far. We would expect that, there is no indication that won't come back as we come out of the pandemic.
Judah Sokel: Okay, great. Thanks for that.
Operator: Our next question comes from Hamzah Mazari with Jefferies. Your line is now open.
Mario Cortellacci: It's Mario Cortellacci filling in for Hamzah. Just wanted to touch on some of the decremental margins expected in Q1 which is into tied in the guide. But I guess just how should we think about incremental margins throughout the remainder of 2021 as comps gets easier and growth turns positive. Could you give us some guidance or outlook on how we should think about the cadence of that in 2021?
John Feenan: Maria, good morning. This is John. I'll start on that question. As said, we in our comments, we still expect on the maintenance side the impact of the pressure on ancillary will impact on margins, we think through the first couple of quarters of fiscal 2021. So we don't see any big change in that. We're encouraged by what we're seeing on the contract piece of the business and how we've been able to manage our labor and our cost which was evident in our results for the fourth quarter. On the development side, it's a little bit trickier because of the project nature of that business and when projects get delayed that is indicative of how the margins are going to hold up in that business. But again we saw decent results in managing the cost in the fourth quarter there which led to an increase in margins. Our challenging development in fiscal 2021 will be as Andrew said we have good visibility in Q1, if things look okay, Q2 we expect some of that softness to materialize and then things back, we hope we see a more normalized level in Q3 and Q4, on the development side.
Mario Cortellacci: Great that's helpful. And then I mean you guys said that, you added 10% to the Salesforce this year, 25% in 2018. You've made some comments around marketing leads growing three times, you added some detail one of the other questions. But I guess just, how are you thinking about Salesforce productivity or how are you measuring data? Are you guys looking more at total sales per sales person, total contract revenue or ancillary revenue? Just trying to get a sense for how you're basing that and then what is that, I guess look like versus history. And how quickly can that sales person ramp once you guys are adding them. Is it six-month type of ramp or does it take a year or two for them to get up to being fully productive and fully profitable?
Andrew Masterman: If you look at - in our primary KPI, we use is contract revenue per sales of volume. And with the ramp that we've had and if you look at the 25% ramp over two years and then couple that with the ability that the training and the in-person development that you typically have for sales person has slowed down no question because of COVID. But the point is, that we continue to invest. We continue to build our Salesforce and we've seen some quite nice stickiness with our employees that we brought them on during this pandemic. So what we do believe, as we come out of the pandemic that the sales - and thus we have also seen, as you bring more new employees, you see how that metric comes out a little bit. That combined with new employees and the realities of the sales process that landscaping is a very personal, in-person sale, dealing with a client, going on customer walks with the properties, understanding the issues at a property with the property managers and owners. So that combination is how is that metric despite little bit recently. But we are very optimistic, that when we look at tenured people who've been with us for over a year the amount they sell dramatically improves and we're seeing that metric go up. So as you see time pass and those new employees gain and experience combined with the removal of the pandemic wait. We're really, really energized about what the sales team. This continued investment in sales is going to produce.
Mario Cortellacci: Great and if I could, sneak in one more on M&A. I mean you said you have a $400 million pipeline. I mean there is a lot of chatter in other services industries that 2021 could be an outsized year in M&A with 2020 being toward the lower end of the expected ranges. I mean, is that in opportunity for you guys in 2021? Could it be an outsized year or how much of that $400 million in your current pipeline, could you recognize in 2021?
Andrew Masterman: Yes, our pipe is up. We typically said we have about $300 million to $350 million. Our pipeline now is about $400 million in opportunities in the pipe. I think everyone should expect that pipe to convert - if we convert it at similar rate, we should be doing slightly more M&A. But M&A is more of an art than a science. So dealing with, we're making sure that the companies that we're connecting with have an ability to match with the culture of BrightView and that's the most critical thing. So right as we sit here today, opportunity is out there have grown and we continue to be very optimistic about what that can mean for acquisitions in 2021.
Operator: Our next question comes from Seth Weber with RBC. Your line is now open.
Gunnar Hansen: Gunnar Hansen on for Seth. I guess you guys have trust in a lot of things. But I guess John, going back to the net working capital benefit. Obviously below 9% revenues have trended down pretty significantly in the last couple of years. I mean should we assume that picks back up to kind of 10% - been realized in prior years or how confident are you that 9% working capital is sustainable?
John Feenan: Well as I said earlier, good morning, Gunnar. We're going to work extremely hard to maintain what we've achieved here. We have done some structural things on the AR side. We've had a heavy focus on anything that aged to get that into billing as soon as possible. One of things I do want to mention, is that we haven't - we've done these dramatic improvements on the back of our vendors. So we're not aggressively extending our vendors. We've very good relationships there. And I think those are really the key elements combined with managing our capital expenditures aggressively and we're certainly not starving the business at all. I think those two components will really help us to maintain our consistency and ability to generate to bring cash in this business to both as we said delever and continue our acquisition.
Gunnar Hansen: Okay, that's helpful. And Andrew I guess just with some of the metrics you provided around the sales pipeline and the marketing leads, all that seems pretty encouraging. Can you give us a little bit more color on the background of those programs? I think you mentioned that it really started a year ago and it's moving more to omnichannel today. Is that done on a centralized basis in those leads pushed out to local branches? How pervasive are those leads across the country? Are there any end markets that are better than others? And with the leads that you're seeing, is it white space or are you winning share from competitors? Is there been a shift to greater outsourcing? Any color around kind of some of the contracts of those?
Andrew Masterman: Yes, would have delivered projects [ph] about a year and there are various stages that we're introducing. We split out with single screen channel, omnichannel something we're just starting right now, when you look at what we think we can create as far as pipeline. It is targeted in certain markets throughout the country. We've done is about a year ago we started deploying regional digital marketing resources that partnered with our divisions out in our regions. So that it's kind of we've taken the first step on that. We did the lead. There's kind of multiple steps we're taking except one done, saw the results. We're now taking it down to expanding our market presence, step two. We believe there's even more coming in. And step three, which probably will be beginning starting about six months, nine months from now. So there's multiple stage levels that we're going at that in the initial, initially what we're seeing - what we reported very positive results. In landscaping, the reality is related to this and so most of it, is going to some competitive development. But the market is so big, we only have about 2% to 3% share of the landscaping market, right? And so as we're going out there, we're basically reaching out and engaging with customers many times who don't know who we are. So being able to go out and stimulate brand awareness is really what marketing is doing and by doing that, we're reaching more customers coming into the pipeline that ultimately convert it to higher rate to BrightView.
Gunnar Hansen: Okay, that's helpful. Thanks guys.
Operator: Our next question comes from the line of Kevin McVeigh with Credit Suisse. Your line is now open.
Kevin McVeigh: How much snowfall, you have factored in kind of low end, high end of Q1 guidance? Is there any way to think about just ring-fencing what type of range we should think about for 2021 overall as well? Appreciating you're not giving formal guidance. But just your way to think about the ban [ph] is not only for the quarter, but I guess for the full year.
Andrew Masterman: Yes, if you look at snowfall in general in Q1 last year it was - it wasn't pretty good first quarter. And so if you look at kind of the range that we have, the top end of the range with kind of how we averaged snowfall. It doesn't anticipate anything big because of the top end of the range, in other words we go through the range. If there was a blizzard event in December. The bottom of the range I'd say light snowfall probably a shrinkage of roughly $10 million or so off of prior year at the bottom end of the range, $5 million to $10 million breakage off of last year. And that's kind of the range. Where we really need to get as many people know, where snow is important and so events that occur in high snow markets tend to be more in fixed contracts and those that have more variable kind of Mid-Atlantic type snow, we need to see snow in all areas to some degree ice and the snow event, kind of hit the averages. We'll get more color as it goes. As far as 2021 rest of the quarters go. We really need to get closer into December and January to see kind of weather patterns, to see what that booking might before we get any more specificity as to where we're going to go.
Kevin McVeigh: That's helpful and then just remind us because I know you've taken some actions in terms of bringing some of the capacity in-house to try to minimize, I think some of the expense vitality around surge. Are you kind of where you need to be on that or is there any way to think about how much of the balance [ph] which would be in-house versus outsourced obviously in a normalized environment as opposed to something super, super disruptive.
Andrew Masterman: We look at the balance all the time between outsourcing and in sourcing. We are trending towards putting more to our in-source as our branch perform. We will continue that - measured in meaning that. There's capital expenditures involved with outbidding our capabilities so it was going to be a multi-year process where we continue to doing more in sourcing with the CapEx deployment quarter by [indiscernible] CapEx.
Kevin McVeigh: Thank you.
Operator: Our next question comes from Sam England with Berenberg. Your line is now open.
Sam England: The first one, the market data that you've got in your 10-K have the overall market gained back about 2019 levels in sort of 2022, 2023. Do you think you can outperform that on an organic basis over the next couple of years?
Andrew Masterman: Yes if you look [indiscernible] about that you're right, it's showing a rebound more in 2022, 2023 and yes we believe that, given the digital marketing investments, the increased Salesforce we have, we believe that - and an also the return of ancillary demand which we fully expect will happen as we get out of the - part of the crisis, all those will be able to fuel the - better the market growth.
Sam England: Okay, great. And then just on the CapEx, your guidance CapEx gained back up 3% of sales in 2021. I just wondered whether that's just a catch up on stock that you delayed this year or was there any sort of new investment going in anywhere and then you mentioned this technology improvements you've made, is there more investment to do going forwards on the technology side as well?
John Feenan: Yes, Sam. Good morning. The guide we gave was directional what we think we're going to be doing in fiscal 2021. We spent less obviously in 2020 than we did in 2019. As I said we certainly not sparring [ph] the business we just - the guide was based on a prudent level of capital versus what we expect on revenue. But nothing incrementally or large projects out there that would stimulate any ancillary capital expenditures.
Andrew Masterman: Let me emphasize on technology, what I'm thrilled about this. And this is why BrightView is different. We can go deploy $1 million of capital and capitalizing and doing software development that is unique to industry that enables thousands of people in our company that operate more efficiently. It's something only we can do and frankly when it comes to our capital off the $65 million number; it's a relatively small amount of our capital. It's something that the differentiator for this company that we will continue to invest in and continue to enhance and deploy our tools it's going to drive in greater sales result.
Sam England: Okay, great. Thanks very much. I'll leave at that. Thanks guys.
Operator: That concludes our Q&A session for today's call. Thank you all for participating. You may now disconnect. Thank you.